Operator: Ladies and gentlemen, good evening, and good morning, and thank you for standing by. Welcome to the Tencent Music Entertainment Group 2020 Third Quarter Earnings Conference Call. Today, you will hear discussions from the management team of Tencent Music Entertainment Group, followed by a question-and-answer session. Please be advised that this conference is being recorded today. Now I will turn the conference over to your speaker host today, Ms. Millicent T. Please go ahead, ma'am.
Millicent T.: Thank you, Matt. Hello, everyone, and thank you all for joining us on today's call. Tencent Music announced its quarterly financial results today after the market close. An earnings release is now available on our IR website at ir.tencentmusic.com as well as via Newswire services. Today, you'll hear from Mr. Cussion Pang, our CEO, who will start the call with an overview of our recent achievements. He will be followed by Mr. Tony Yip, our CSO, who will offer more details on our operations and business developments. Lastly, Ms. Shirley Hu, our CFO, will address our financial results before we open the call for questions. Please note that this call may contain forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and observations that involve known and unknown risks, uncertainties and other factors not under the company's control, which may cause actual results, performance or achievements of the company to be materially different from the results, performance or expectations implied by these forward-looking statements. All forward-looking statements are expressly qualified in their entirety by the cautionary statements, risk factors and details of the company's filings with the SEC. The company does not assume any obligation to revise or update any forward-looking statements as a result of new information, future events, changes in market conditions or otherwise, except as required by law. Please also note that the company will discuss non-IFRS measures today, which are more thoroughly explained and reconciled to the most comparable measures reported under the international financial reporting standard in the company's earnings release and filings with the SEC. You are reminded that such non-IFRS measures should not be viewed in isolation or as an alternative to the equivalent IFRS measure, and other non-IFRS measures are uniformly defined by all companies, including those in the same industry. With that, I'm now pleased to turn over the call to Cussion, CEO of Tencent Music. Cussion?
Cussion Kar Shun Pang: Thank you, Millicent. Hello, everyone, and thank you for joining our call today. In the third quarter, we continue our healthy trajectory of unlocking opportunities in China's online music entertainment services through various monetization models. Our online music services recorded well-rounded outstanding performance, while social entertainment services moved further along as part of recovery.
Cheuk Tung Tony Yip: Thank you, Cussion. Hello, everyone. Apart from the key developments discussed by Cussion just now, I will provide additional highlights for online music services before I move on to the discussion of our online social entertainment services. In terms of product upgrades, we continue to innovate and optimize products to make our online music streaming experience more visual and personalized, leading to enhanced user satisfaction. On video enrichment, we added more music centric short form videos, MVs as well as other UGC content, which has contributed to improved average time spent and the total video streams on Kugou Music. For QQ Music, users are more engaged with video content creation. And we have seen sequentially increased daily published UGC. We continue to make the music discovery journey more fun and immersive for our users with personalized recommendation accounted for an increasing proportion of streaming volume on our platform. Now turning to social entertainment services. Overall, we continue to recover steadily in the third quarter, resulting in a faster revenue growth rate compared to the second quarter of this year. We are also pleased to see its ARPPU expanding both on a year-over-year as well as on a quarter-over-quarter basis, driven by users improving willingness to spend following the COVID-19 pandemic for both live streaming and online karaoke. Our music centric live streaming services maintained healthy growth. The key operational targets are twofold, one, growing and maintaining the number and the quality of live performance to solidify our advantage in music centric live streaming content. And two, growing a fan-based economy by drawing on the strength of our popular content and interactive features. As of the end of the third quarter, the number of live streaming performance on Kugou Live grew by over 40% year-over-year, and the number of exclusive performers increased at a healthy pace compared to the same period last year. We are in good momentum recovering from the pandemic. And our paying users have seen sequential improvement in terms of retention rate, driven by effective and targeted operational initiatives, as well as personalized recommendations.
Shirley Hu: Thank you, Tony. Hello, everyone. Next, I'll discuss our results from financial perspective. Overall, we achieved outstanding growth in online music services, particularly in music subscriptions, and advertising revenues this quarter, and we continue recovered in our social entertainment business. We are also very pleased to see our gross margin improvement sequentially. Our total revenues were RMB7.6 billion, up 16.4% year-over-year. Our music subscription business continues to grow rapidly, with revenues of RMB1.5 billion in the third quarter and year-over-year growth of 55%. On a year-over-year basis, paying user and ARPPU grew 46% and 6% respectively, resulted from continued users retention improvement, and effective paywall strategy execution. In addition, our advertising business had significant growth this quarter as our strategic focus to grow advertising business not yet showing results this quarter. As a result, our online music revenue reached RMB2.3 billion this quarter, up 26% year-over-year, despite decreases in sublicenses revenues and the sales of digital albums. Social entertainment services and other revenues were RMB5.6 billion up 12.7% year-over-year, primarily due to growth from online karaoke and live streaming. ARPPU increased 32%, while paying user dropped 14.6% on a year-over-year basis. During the quarter, we grew our ad business significantly, and also offer the more advanced web content on platforms, both resulted in higher ARPPU. We have always been focusing on monetization improvement. Developing advertising business, our racing platform is one way to improve monetization ability of the platform. This quarter, we balanced between the growing number of our paying users and the developing advertising business. Furthermore, we reduced incentives that are less efficient in terms of attracting new paying users. Consequently, number of paying users declined this quarter. But our overall monetization on the platform has improved. Our gross margin was 32.4% in Q3, 2020, up 1.1% sequentially, while down 1.6% compared to same period last year. The year-over-year decrease was primarily due to increased investments in new product and content offerings, such as long-form audio and the TME Live, like us do ramping up in terms of revenue generation, as well as increased the revenue sharing fees to strengthen our platforms compete cumulus this year, as compared to same period last year. Sequential gross margin improvement was as a result of lower revenue sharing ratio in revenue streaming, because we focused on improving efficiency of promotional activities and reduced less efficient incentive for user spending as our  dream business recovered. Online music services have had positive impact on overall margins this year. And this trend is expected to continue as our subscription revenues continue to grow,  as our music industry evolve. Now, moving on to operating expenses, total operating expenses for Q3, 2020, were RMB1.4 billion and it was 18.9% as a percentage of total revenues, staying relatively stable compared to 19% in the same period last year. During the quarter, we increased the promotional spending for new and existing products to strengthen our products competitiveness, and solidifying our advantage in music essential live steaming. Additionally, we continue to invest in R&D for product enhancement, and technology innovations, leading to higher employee related costs in R&D. Our effective tax rate was 9.3%, decreased from 20.8% last quarter, as one of our operating entities in China became qualified for certain tax benefits this quarter. Our net profit attributable to equity holders of company was RMB1.1 billion. Non-IFRS net profit attributable to equity holders of the company was RMB1.3 billion and non-IFRS net profit margin was 17.8%. As of September 30, 2020, our combined balance of cash, cash equivalents and term deposits were RMB27.3 billion, representing an increase of RMB5.4 billion from Q2, which was primarily driven by proceeds received from loans offering. Looking forward, we'll keep focusing on monetization improvements and diversification, including growing our advertising business while maintaining core content investments. As we had said previously, we continue to be optimistic about the future of the broader music industry, and are confident in overall ecosystem and the product pipeline that we are building in the long run. This concludes our prepared remarks. Operator, we're ready to open the call for questions.
Operator:  Our first question comes from Alex Poon with Morgan Stanley. Please go ahead.
Alex Poon: Hi, good morning. Thank you, management, for taking my questions. Congratulations on very strong results. My first question is related to music net adds. Can you also comment on the gross additional number? Is it also a historical high number in third quarter? Because I suppose retention is also improving at the same time. And then overall in terms of gross additions, can you comment on the - you have a number of drivers, including your payroll, your promotions, your unbundling of long-form audio, TME Live, Putong Communities, a lot of drivers helping this overall growth in your net adds. Can you just – on an overall basis, are you seeing for each percentage of sale moving behind the wall you are seeing a better conversion of paying users? So I just want to understand are you seeing a better inflection of your efficiency of moving from behind the paywall? And then another question is around Double 11 promotion. So you are doing this in a buy one get one free annual membership for Green Diamond versus the half price last year. Do you expect this to be better paying user conversion this year versus next year? And the second question is regarding gross margin. So, you also mentioned a number of drivers helping the gross margin improvement, including advertising, subscription, and license incentives for the social entertainment side. If I take a longer-term view in Q4 and next year, can advertise – should advertising and subscription business be a more sustainable gross margin driver? So we should expect this gross margin improvement to continue sequentially from Q4 onwards? Thank you very much.
Cheuk Tung Tony Yip: Thank you for your question. I'll take the first part of your question around the net adds and I'll let Shirley answer the question relating to the margin. We're very pleased with this quarter’s result in terms of the net adds. We reported the largest sequential net adds of 4.6 million and surpassing 50 million subscribers for the first time. That is driven by a combination of a very well executed paywall strategy that we've talked about in the past. By the end of this year, we are on track to exceed the 20% target of content behind the paywall, which is a very strong pace. And while there may be quarterly fluctuations, especially into the fourth quarter, given that we have been fairly aggressive in adding a lot of content in the first three quarters of this year,overall, I think, this continues to be a massive secular growth trend that are supporting us as a tailwind in the years to come. And so we wouldn't be too focused on it on the quarter-over-quarter basis. In terms of the rest of the drivers, bundling, promotion, in terms of temporary promotion and discounts are all very good drivers. We indeed are seeing retention rate continue to improve on a sequential basis, which is the trend that has begun since the beginning of last year and that trend is continuing. And in terms of your question about sort of one-off promotional discounts, I would say that those are effective in capturing longer-term subscribers, who may opt to signing for multi months as opposed to a single month. And while it looks as if it's a discount in the front month, they're actually accretive to our overall ARPPU in the long run, because we are able to lock them in for a longer period at the full ARPPU in the subsequent months. So I think overall, that's an efficient way for us to acquire new additions. And I'll let Shirley address the margin question.
Shirley Hu: Okay. Let's address the margin. Q3 gross margin is 32.4%, higher than that of Q2. There are two reasons. One, when live streaming revenue recovered from COVID-19, we focused on operational efficiency of live streaming business and reduced the less efficient promotion activities for stimulating user spending. So the revenue sharing fee for this part is saved. Two, subscription revenue and advertisement revenue growth rapidly have a positive impact on gross margin. And I guess, we think the advertisement revenue rapid growth will continue and that also will be - have a positive effect on our gross margin. We expect our gross margin to be relatively stable in Q4, compared to less in Q3. One hand, our music subscription revenues and advertising revenue growth has a positive impact on our gross margin. On the other hand, we have annual gala in Q4, where we typically conduct more promotional events and provide higher incentives, which generally would result in higher revenue sharing cost. So overall, we expect our gross margin to be relatively stable in Q3 compared to - in Q4 compared to Q3.
Alex Poon: Understood. Thank you very much. Congrats again on great results. Thank you.
Millicent T.: Next question, please.
Operator: Our next question comes from Binnie Wong with HSBC. Please go ahead.
Binnie Wong: Hi. Good morning, management. Thank you for taking my question. So I was wondering that in terms of the latest view on the anti-monopoly regulation, and then also some of the potential monitoring there and the guidance from government, what are some of the things that you think might potentially impact the industry first? And how do you view it or maybe potentially any implications we should expect on TME? And then second of all is that, if I look at the net adds, right, on a Q-on-Q basis, you feel a little bit soft, right, on the subscriber side and also on the paying users live streaming side. So anything that we can strive is possible? And also if you can comment a bit on the audio or like a podcast, like the audio strategy in terms of the potential monetization? I understand that there's already subscription revenue there. But then what – and I see the step up in potential – step up in penetration you mentioned in press release 11%, from 4% earlier. So if you can help us to understand better on that three questions. Thank you.
Cheuk Tung Tony Yip: Thank you for your question. We also noticed the new draft regulation that came out just yesterday. Obviously, we are in the process of evaluating that. We've always maintained a close and constructive communication channel with government authorities and we're committed to complying with the relevant laws and regulations, and to contribute towards the overall healthy development of the music industry. And so I think that's as much as we can say in relation to the regulatory front. I'll let Cussion talk about the long-form audio podcast question.
Cussion Kar Shun Pang: Yes, sure. First of all, I think that we have been fully committed to provide more long form audio content to our users. We started the business just in this year, but we have already got a very significant progress on the issue of long-form audio. The total content that we have right now is actually over triple digits year-over-year growth when compared to last year. And the most encouraging result is, we're seeing that right now, the user penetration has actually reached at over 11% regarding on our total user base. So which means that this is well accepted by our users, and also, we are seeing a very strong and healthy growth trend. I think that for the long-form audios, it really fit with our content strategies. Because what we are aiming is, we are seeing that we are the platform that can provide the best content to our users, which is not limited to only music, audios content, but also other forms of content. And we are also seeing that this is a very natural way for our user to not just listen to music, but can also enjoy different forms of content flow base. We are also seeing that there's a lot of comp synergy, for example, with our current music partners, like the top tier artists, or early emerging KOLs on the internet, they're providing a good music content, they can also help us to create very good quality, a long form audio as well. Besides this, we also have a very good partnership with the Chinese literature, and also other long-form audio content providers. So I think that we are really in a good trend. And right now we have already focusing ourselves in growing our user base, and the penetration rate of long-form audio. And in the years to come, I think that the monetization will also pick up as well, not just from the subscription point of view, but also on the advertising opportunities as well. So we are very positive on this side.
Millicent T.: Next question, please.
Operator: Our next question comes from Eddie Leung with Bank of America. Please go ahead.
Eddie Leung: Good morning. Thank you for taking my questions. I have two questions, if I may. The first one is about the overall music mobile MAU. I think its inevitably having some pressure given restocks to put more content over the paywall. But just wondering if, as we add more video content, as well as other free content, is it any strategy or any ways just to maintain a more sustainable MAU base on the music side? So this is more of a long-term strategic question. And then secondly, just a related question. We noticed that the ARPPU of social entertainment went up quite a bit. So just wondering how much is because of the mix shift between live broadcasting and karaoke and any other reason we should pay attention to the trend? Thank you.
Cheuk Tung Tony Yip: Sure. In terms of the music MAU, I think given our very large user base on the music side, this quarter is a small decline, it's a minor fluctuation. In the grand scheme of things, we're very confident that we'll be able to maintain our leadership position in the streaming market, in the online music streaming market. As a result of all the efforts that we talked about which includes enriching our content offering, continue to make a number of product improvements, as well as new business initiatives. In particular, with regard to the content offering an enrichment, as you rightly pointed out, our content offering is not just limited to music or audio-based media format, but increasingly, as we alluded to across our earnings call, we continue to make a lot of investment into the video enrichment across all of our apps, that includes official music videos. It also includes user generated content provided by content creators. And these video content show up across a number of different modules within the platform, it could be in the feed, recommendation feed, it could be in the streaming page while you listen to music. It also could be through just overall the social community, such as Putong Community. So I think all these efforts and combined with for example new formats of media consumption like TME Live, which is a truly pioneering effort within the industry, bringing all the offline concerts online and we've done over for about 30 online concerts this year, which by far is a more number of concert organization than any online or offline concert organization entity. Even if you look at it before the COVID pandemic. So I think these are all efforts that we continue to make to enrich the content offering to strengthen our platform that will help maintain our leadership in the long run. And then in terms of the question around ARPPU and revenue mix within social entertainment, it is not that the live streaming revenue is outgrowing the currency revenue. That's not the case. In fact, the currency revenue continued to grow at a faster pace than the live streaming revenue this quarter. The reason for the ARPPU to increase is primarily a mathematical reason, because the ARPPU is calculated by dividing the social entertainment revenues as whole by the number of paying users. And because of what myself and Shirley has talked about, within WeSing, we made a number of products enhancements. For example, we launched the new design of the recommendation feed on the front page with inclusive full screen feed, and make browsing content more immersive. And along with that, we also enhanced the recommendation algorithm to allow users to see a greater variety of that content instead of just content being posted by your friends. So this actually creates more demand for content consumption, which is what we saw. And that brings about more opportunity for us to monetize through advertising, as opposed to monetize through a virtual gifting amongst friends. And that's why overall, we think revenue continue to grow as a platform. And within that, the advertising revenue is growing at a faster pace, and then the virtual gifting revenue among friends. And that lead to a drop in the number of paying users, but resulted in a growth in the overall leasing revenue. And so taking all that into account, that's why you saw the improvement in revenue and ARPPU terms, but a drop in the number of paying user terms.
Millicent T.: Thanks, Eddie. Can we take the next question please?
Operator: Our next question comes from John Egbert with Stifel. Please go ahead.
John Egbert: Great. Thanks for taking my question. Congrats on the results. I'd love to follow-up on advertising, as you're just alluding to it. It sounds like your advertising was a bigger driver of the momentum in online music services this quarter. Are you able to quantify the momentum in ad revenue or give us a sense of how meaningful a contributor it is to this segment? And maybe could you talk about any recent innovations in your suite of ad products that you're excited about? Or anything in the pipeline that you think can move the needle on advertising growth next year. And I guess a follow-up to that, have you given additional consideration to sponsored recommendations or other tools for artists to grow their audience bases, because it seems like you're rapidly growing indie artist population could really benefit from tools like that. Thanks.
Cheuk Tung Tony Yip: Yes, thank you. Advertising is indeed a very strong growth driver within the online music segment this quarter, advertising revenue has grown well over 100% this quarter on a year-over-year basis. Approximately it accounts for just less than half of the non-subscription revenue within online music. And so it's the largest piece of the revenue within non-subscription revenue in online music. And as we've talked about, actually, over the past two quarters now, we've said that this year is an investment year for us to improve on our advertising capability, our sales team, our advertising products, et cetera. And with the recovery of the overall economy, and the overall advertising environment following the pandemic, which mostly impacted the first-half, we are starting to see that opportunity arise and we are ready to be able to capture that opportunity, because of the investments we made in the past. And we will continue to scale up the advertising momentum as we go into 2021, in a number of ways. Number one is that just across many of our platforms, we in the past have been fairly conservative in the form of advertising monetization. There's a lot of advertising inventory that are under our control in the past, not made it available. But going forward, I think that becomes an opportunity for us to make it available, and as there is increasing demand for them. And secondly, you'll start to see us doing more testing around some form of a premium model, whereby, free users would be more exposed to advertising, as an example, and paid user would be less exposed to advertising. And that's another form of advertising driver that we look to invest into 2021.
Cussion Kar Shun Pang: Yes, exactly. And I also think that, we are also creating more and more use cases for our users to enjoy music anytime, everywhere. So like in car environment, which is really good use cases for our users to enjoy music and also advertising is going to be have a lot of opportunity out there. As we also mentioned that during our prepared remarks, we talked about TME Live, I think this is a tremendous success, especially under the COVID pandemic. We are seeing that is many new opportunities has been created, especially on the online and offline concerts. Right now we are focusing on the online concerts. But we are also seeing that some of the other advertising sponsors, which is coming in, there's also some other new form of advertising partnership as well. And in the future when the pandemic is under control, I think that there's all the further rounds of synergy that can be created, like the online and offline concert synergy. This is something that we are focusing on. TMEs always not just focusing on today's business, we are also focusing on the future business. We are focusing on creating an ecosystem. So not just on the music apps that we have been doing well, but we need to do it well from an ecosystem point of view. So the offline, online synergies, and also the different areas, I think that there's many opportunities. So the advertising room going to become one of the significant revenue stream for TME in the years to come.
Millicent T.: Thank you. Next question, please.
Operator: Our next question comes from Alicia Yap with Citigroup. Please go ahead.
Alicia Yap: Hi. Good morning, management. Thanks for taking my questions. I have questions regarding more medium to longer-terms on the social entertainment opportunity. So given the developments of the industry and also the evolvement of the user behavior, what is management view on medium to longer-term opportunity for social entertainment? What type of new monetization opportunity in addition to the online advertising, which you just mentioned, that we could further explore into for any other new monetization ways that we could think about? And in terms of some of the challenges that you have been facing. I understand the company has been doing a lot of product enhancement features to retain the user. So what are the areas that you think are key and still need to address in terms of the challenge that you're facing for especially on the time spent dilutions for other applications out there? And how confident you are on retaining and reengaging the user? Thank you.
Cheuk Tung Tony Yip: Thank you. As I previously mentioned, with respect to social entertainment, MAU and time spent, which primarily relates to WeSing, because that account for our majority of that. We've made a number of significant investments into improving the product experience on the platform. We talked about the recommendation feed which I won't repeat. But just as a point to highlight, we encouraged by the fact that we starting to see these improvements, translate into improvements in the underlying metrics within WeSing. For example, our average daily user time spent have started to improve on a sequential basis since September. And that gives us the confidence that the social entertainment MAU would bottom in Q4 and stabilize and start to improve into 2021. In addition to that, we also made investments to better cater for the increasing demand for long distance social use cases, right, such as strengthening the Friend KTV  feature within online singing room. Because we want to better position, we think in the long run as a leading online social entertainment destination among friends and family. And so the social networking attributes is an important area for us to focus on. And through these online singing room features, which emulate the offline experience, we are able to better cater to long distance connections between friends and families. And since we launched a feature in September, it has gained a very good traction. And we believe this feature would help further boost the penetration of financing in rooms, and as a result more social networking attributes on the platform in the long run. And so, all of these things ultimately translates to time spent and DAU, which we're starting to see improvement in the underlying metrics, starting in September.
Cussion Kar Shun Pang: Yes. Tony really made a good point regarding the social aspect. I think, TME is always our competitive advantage. This is something that we have, but the other competitor to not have. Not just limited to the social entertainment side, but also on the music platform as well. As we mentioned we talked about the Putong Community, which is a new feature that we just launched a couple of months ago, but has already been receiving tremendous success. This all talks about interactions, okay. So often users can interact with themselves. In their Putong Community, they can share the pictures, they can share different contents. They can also interact with the artists and also other defense society as well. So it is very important for us to create a place for our users and also the artists to communicate. And we are also seeing there is also have another area just like a media approach, okay, like Blackpink, that we mentioned. They choose Putong Community to become their place today to their new songs. We also received a tremendous success. So I think that this is something that TME should do, and TME should continue to invest in, not just on the social entertainment side, like the karaoke room or friends and family, but we also have this kind of Putong Community for the music lovers and also the artists. I think we will continue to doing this and it's going to make ourselves to be distinguished from our competitors.
Millicent T.: Okay. Thank you. Next question, please.
Operator: Our next question comes from Thomas Chong with Jefferies. Please go ahead.
Thomas Chong: Hi. Good morning. Thanks management for taking my questions, and congratulations on a very solid set of results. Back to the subscription services, given that we are seeing a very strong net adds in Q3. How should we think about the net adds trend in Q4 as well as the outlook in 2021? Thank you.
Cheuk Tung Tony Yip: Thank you. Like I previously mentioned, I think we're not overly focused on quarter-over-quarter fluctuations in the net adds. We've had a very strong year irrespective of how you measure it in terms of the growth in the subscription revenue, as well as paying user. And we've been fairly ahead of schedule, in terms of the first three quarters in terms of growing the paying user as well as adding content behind the paywall. So I think into the fourth quarter while the absolute level of net adds may not be as strong as third quarter, but overall, it could remain in a secular growth trend that will continue into next year and beyond. In terms of the outlook, we again are very pleased with this quarter's results, with very strong online music subscription revenue continuing to grow at a rapid pace, our paying ratio continues to improve, very strong ad revenue, as we talked about, as a result from a lot of the investments we've made in prior quarters, and while achieving all of this with growing margins sequentially. We believe China's online music industry is still at an early stage of development and continues to be in a long-term secular trend that will provide a lot of monetization opportunities. And as we are the leading platform in the industry, we'll continue to benefit this proportionately from this long-term trend. On the near-term basis into the next quarter, we expect the total revenue to continue its healthy growth of around mid-teens on a year-over-year basis, therefore, the total revenue level which is driven by continued strong growth on the online music revenues, which should grow at a similar pace to Q3 on a year-over-year basis. And for social entertainment revenue to go around a low teens on a year-over-year basis. And looking beyond the next quarter, which is more important, given our businesses continue to recover across all cylinders at a healthy pace from the impact of COVID in the first-half, we're very optimistic that the total revenue growth next year would continue to improve and be stronger than the growth rate this year. And we'll share more details around that when we announce the full year 2020 results.
Millicent T.: Thank you, Tony. So can we take the next question, please?
Operator: Our next question comes from Vincent Yu with Needham and Company. Please go ahead.
Vincent Yu: Sure. Thank you, management, for taking the question and congrats on the great quarter. So, I have two questions, one is, we noticed that QQ Music and Kuaishou has just completed the album to all on the event. So should we expect more partnership between the two platforms in the future? How should we think about the potential of motivation or conversion opportunity for these partnerships? My second question is in terms of the paywall strategy, will we take a more conservative approach in 2021 compared to this year to let natural acceleration and user paying behavior to play out? Or is there any specific target we have in mind for paywall penetration for 2021? Thank you.
Cheuk Tung Tony Yip: Sure. In terms of partnerships with external short video platforms, we've been fairly proactive in partnering across the board with a number of video platforms, be it short video as well as long videos such as Tencent Video. And because each platform has different target audience and slightly different user segmentation, we would obviously leverage that to the fullest when we see opportunities. With respect to Kuaishou, and short videos in general, we've said in the past that they are helpful promotional channels for music. And we'll continue to leverage that and leverage the promotional capabilities of short video platforms to promote music and monetization opportunities. And in terms of the paywall progress, if you look at the 2019, we've added approximately 10% of the content behind the paywall after the first year, and by the end of this year would be with the just over 20% by the end of this year. So I think we'll continue to follow this path and pace and obviously we'll need to do so with a lot of careful consideration to ensure that we balance the user experience with monetization opportunity. Because as we continue to scale up the advertising opportunity, subscription while is a strong growth engine may no longer be the only growth engine. And so we also need to balance other growth opportunity, such as advertising as well. In addition to that, we will continue to make investments into new businesses, beyond just subscription and paywall, such as TME Live, as well as long-form audio that Cussion talked about. TME Live has seen tremendous amount of success in a short period of time, with iconic megastars joining the performances. Andy Lau, Eason Chan, Jessie J just to name a few. And we are already starting to explore monetization models with TME Live. For example, in the recent Richie Jen's concert, Ren Xianqi's concert, that is only available to paid users, and so not available for free. So that's an example of TME Live venturing into different monetization model beyond advertising. And in the form of long audio, that's actually a very good opportunity, because depending on the different content type, there are different monetization opportunities that arise. For example, if it's a serial literature, chapter-by-chapter, then it's easier for us to monetize through subscription, with other forms of podcasts or other forms of long-form audio content, then there's opportunity for us to monetize through advertising. So I think we are excited about all these revenue growth opportunities as we move forward.
Millicent T.: Thank you. We go to the next question, please.
Operator: Our next question comes from Zhijing Liu with UBS. Please go ahead.
Zhijing Liu: Thank you, management for taking my question, and congratulations on strong result. I have two questions. First, how should we think about the revenue potential of QQ Music Live streaming in 2021? Will it become a major driver of social revenue in a year? Second, any potential drag from the live streaming regulation, which recently the regulator mentioned for December? Thank you.
Cheuk Tung Tony Yip: Okay. In terms of the regulatory guidance that you talked about, we have been very committed to complying with all laws and regulations. And based on our internal assessment, the new guidance thought has a meaningful negative impact to live streaming businesses as we've been fairly compliant in regulatory rules. And then in terms of QQ Music live streaming business and live, that business continues to grow. While it is still early days, but the positioning is very unique. We continue to see very strong addition in terms of the musicians that are joining the fan-live platform to live stream and as a channel for them to connect with their fans. While the revenue of contribution this year is not meaningful, we do expect it to grow at a much faster pace into 2021. I think the exact details will provide more, as we announce the full year results and give more guidance into the next year.
Millicent T.: Thank you. We will go to the next question.
Operator: Our next question comes from Hans Chung with KeyBanc. Please go ahead.
Hans Chung: Good morning. Thank you for taking my question. So, I have a couple questions. First just can management provide some other metrics about long-form audio? I know we have achieved very good progress in terms of penetration. But what about the time spent on average on the audio? And then also, what was the mix in terms of the content consumption? For example, like the license content versus the UGC? And then also what will be the potential margin profile for the business? How does that compare to the music subscription or the social entertainment? And then second question would be social entertainment business as a whole. How should we think about the near-term to medium-term driver in terms of the trend in terms of the ARPPU and versus the paying user? It seems like the paying user sort of the central  rate, and then but we do have the upside in ARPPU. And is that going to be the trend going forward? Thank you.
Cheuk Tung Tony Yip: Sure. In terms of long audio metrics, like we said, we continue to see the MAU growth very strongly, from just less than 5% MAU penetration last year, into about 11.7% this quarter. So that's well over double in terms of the MAU if you do the math, and that's driven by obviously continued improvement in the content offering, our licensed titles, the number of licensed title could tripled on a year-over-year basis. While the consumption is primarily related to online literature at the moment, but we also talked about in the past quarter, this quarter, we've made investments into adding more user generated content. So that's going to be an area of focus as well going forward, and while it is still small, at the moment. In terms of time spent, I think understandably, given and we're at an early stage of growing this business, the absolute level of time spent is not where it's still a long way from where we want it to be. So there's a lot of upside for us to grow that. However, when we do get additional time spent from the long form audio users, those are additional time spent on top of the music time spent, that they spend on the platform. It doesn't cannibalize the music time spent. So with every additional time spent that we get on this type of long form audio content, these are incremental and accretive to the overall strength of our platform. And then in terms of your question about social entertainment growth going forward, because of the product design and product shift towards more advertising opportunity, in particular, within WeSing, we do see that ARPPU will continue to represent certainly more contribution in terms of revenue growth, compared to paying users.
Cussion Kar Shun Pang: Yes. When we talk about the social entertainment businesses, I think there's two key works. The first one that as we've mentioned before is a social element is very important. So, as Tony and I mentioned before, we are focusing on creating the venue, online venue for our users to interact with each other. So that's the reason why we are pushing hard on enhancing the friends and families karaoke room. The second key point I would like to make is, I think content is still the king. But when we are talking about the content from a social entertainment side is not just the performance, but also the user generated content as well. So we need to lower the barrier for our user to generate their own content. So we have been putting in a lot of efforts in creating more easy using tools for them to record their song, creating their own MVs. And then, by doing all this kind of enhancement, we can help our users to create more and more content and higher quality content. And the metrics and also the numbers really give us a very positive feedback. We are seeing that the number of content that was published by the users is increasing. We are also seeing that by the UI enhancements, more and more users is enjoying or consuming more content by the other users as well, and also improve the interaction among the users. So I think that by doing this two, actually two value, okay, one is a social entertainment aspect, the other is the content aspect. I think that we will be able to encourage and also improve the user engagement on our platform, which will make us to be more competitive when compared to the other online services available in the market.
Millicent T.: Thank you.
Shirley Hu: About the margin of the long - Shirley speaking, yes. About the margin of long audio form, in long-term we think that the margin will be very competitive to the online music margin and the social entertainment margin. In the short-term, we need to invest more on content and do some promotion on the revenue. So, we think in the investment period, the margin effect of long-form audio is negative in short-term. Yes.
Millicent T.: Thank you, Shirley. So for the interest of time, we'll take the last question from the queue.
Operator: Our next question comes from Ellie Jiang with Macquarie. Please go ahead.
Ellie Jiang: Thank you, management for taking my question. Just a quick follow-up on the regulation question raised by the previous analyst. So given that we are seeing regulatory environment keep tightened in the entire space, and also considering potential more content control restrictions next year under the 100th anniversary of CPC. Could management share some thoughts in the overall outlook for the interactive media space, especially for live streaming? And just a quick follow-up on the fourth quarter if the management can share some color into our Signature Music Award events? And how should we think about the potential impact on paying subs in ARPPU? Thank you.
Cheuk Tung Tony Yip: Sure. In terms of regulatory front, I think like we said, we've been committed to complying with the relevant laws and regulations. Music in general tends to be an area that we are able to keep up with regulatory fairly well. We've not had major regulatory negative incidences so far. And we'll continue to work very closely, and maintain a constructive dialogue with the regulators on this front, and we continue to do our part to contribute towards a healthy development of the industry. So, I think that's our commitment. And then in terms of the - I think you asked about the TME Live events.
Cussion Kar Shun Pang: Yes. And a little bit more details on that, regarding the TME, okay, last year, we have a very tremendous successful TME, the annual awards. And one understanding that this year we are under the challenges of the COVID pandemic. So actually our team is working super hard and see how we can continue to have the TME to be organized this year, but maybe the format may be changing. We definitely want to do online and offline show as well. But it really depends on the how the pandemic is going on. So we will provide more details, once the details was confirmed. The other part is that we are talking about for annual point-of-view is not just the TME. We also have a lot of other new events as well, especially for the live broadcast or social entertainment businesses, like the WeSing venue, the event and also the Kugou Live as well. We will continue to doing this, especially for all the operations that we - for the online operations, I think that we will continue. So from the business point-of-view it's not going to affect too much. But definitely we want to see if we can arrange a certain kind of online and offline event, it will be a better form of music. But we will provide more details when we have it on hand.
Millicent T.: Thank you, Cussion. Well, thank you, everyone, for joining us today. If you have any further questions please feel free to contact IR team. This concludes today's call and we look forward to speaking with you again next quarter. Thank you, and goodbye, everyone.
Cheuk Tung Tony Yip: Thank you so much.
Cussion Kar Shun Pang: Thank you.
Operator: The conference has concluded. Thank you for attending today's presentation. You may now disconnect.